Operator: Greetings and welcome to the IDEX Corporation’s Third Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Michael Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Thank you. You may now begin.
Michael Yates: Thank you, Diego. Good morning everyone. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Thank you for joining us for our discussion of the IDEX third quarter financial highlights. Last night, we issued a press release outlining our Company’s financial and operating performance for the three-month period ending September 30, 2014. The press release, along with the presentation slides to be used during today’s webcast can be accessed on our company website at www.idexcorp.com. Joining me today is Andy Silvernail, our Chairman and CEO and Heath Mitts, our Chief Financial Officer. The format for our call today is as follows: we will begin with Andy providing an update on the market outlook and what we’re seeing in the world and then he will review the third quarter financial results. He will then walk you through the operating performance within each segment. And finally we will wrap up with an outlook for the fourth quarter and full year 2014. Following the prepared remarks, we’ll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay, beginning approximately two hours after the call concludes, by dialing the toll-free number 877-660-6853 and entering conference ID 13589617 or you may simply log on to our company’s homepage for the webcast replay. As we begin, a brief reminder: This call may contain certain forward-looking statements that are subject to Safe Harbor language in today’s press release and IDEX’s filings with the Securities and Exchange Commission. With that I’ll turn our call over to our Chairman and CEO, Andy Silvernail.
Andrew Silvernail: Thanks Mike. Good morning everybody I appreciate you all joining us here for our third quarter call. Before I get into the color on the quarter I have a little shout-out here for the Kansas City Royals going to the World Series for the first time since 1985. I have to say that because seating beside me our Chief Financial Officer, Heath Mitts is a born-and-bred KC boy and a long-time season ticket-holder. So good luck to them tonight. Look, throughout the year, and really for a long time now we’ve been talking about controlling our own destiny and we did that in the third quarter and we’ll do so going forward. In quarter we had 7% organic sales growth, we had sales and operating margins increased in all segments and we delivered 13% EPS growth. For the year we’re going to up 5% to 6% sales, we’re going to have EPS of between $3.52 and $3.55 and that’s going to up 14% to 15% for the full year. I’ll get into more detail in the numbers here in just a moment. But before that I want to take just a little bit of time and talk about what we’re seeing around the world in terms of geographies and also in the different markets. I also want to take a moment and talk about that the improvement in our cost structure and investments for growth that I outlined in the press release and then just take a minute and talk about the acquisition environment. So first let me get to end markets and geographies. We did see some order softness in August and September, the good news is that we had a nice rebound here so far in October and we’re up to a good start in the fourth quarter. If you look around the world in North America demand has just remained very, very solid you can pick almost any of our businesses and we had strength in the U.S. all of this year and it’s really been the beacon for the company for quite some time now. In Europe, we did have softness in the quarter and I think the idea of contraction in Mainland Europe is very possible, with one really kind of bright spot and that’s the UK where we’re continuing to see a nice performance. At China the term that we use here is uninspiring, it’s been a volatile, kind of choppy environment here for some time. It’s a market we’re going to continue to invest in and grow in, but the overall -- the underlying growth rates have been softer than we have expected really throughout the year. And then finally in the Middle East, we did see some slowdown here in the quarter and that’s really the conflict from the region but we’ve had a decent amount of business that has been awarded but hasn’t been ordered a shift that we do expect at some point happen but certainly what’s going on that region has pushed some things out for some time. If we turn to the markets that we’re in, energy and chemical really near as what we’re seeing geographically. We’ve had some large project order delays in Europe and the Middle East and that’s really affected our SAMPI business in energy and our Richter business on the chemical food process side. The larger orders to get pushed out push the second and the third and frankly we don’t expect them to land here in the fourth quarter, if we do it will be some upside but we expect that business is going to push out into 2015. The rest of the markets that we’re in, the rest of the regions that we’re in, in terms of energy and chemical have been very solid. On the industrial side again the North America remains very, very solid and we’ve had some pretty good business across the globe in the industrial businesses. Analytical instrumentation in the second quarter I mentioned that we have some order softness that did continue into the third quarter and that’s really primarily tide to equipment sales there have been in North America and Europe. This principally impacts our scientific fluidics business, the good news here is we have a seen a pickup in the fourth quarter and that’s a market that we think is very very strong will continue to be serve over time but we think we’ve had a pause here in the last couple of quarters. On the agricultural side, the original equipment business has slowed down as we expected it would with the OEMs dropping volumes but aftermarket has remained quite good. Finally, I’ll comment on municipal, we have seen availability of funds increase slightly kind of 2% to 3% assuming 1% to 2% in our EPEC business which is a pipeline inspection business launch the great new product here earlier in the year and that has really been a home run for that business. The only other note I’d say on municipal is we’ve seen in Asia a real slowdown in funding and that is impacted our rescue business. I want to take a second here and talk about the Q4 cost out and reinvestment actions that I mentioned in the press release. In the last couple of years we have really tightly aligned and organized IDEX to deliver for our customers and for our shareholders all while really funding more and more organic growth and the success that we’ve had here is allowing us to take some targeted cost out actions in the fourth quarter, they’re going to allow us to continue to reinvest aggressively, continue to expand profitability and also close the gap of some of the difficult comps that we know we have in 2015 from some of these large project that happen this year principally in the first half of the year. We are fortunate that the good work that we’ve done has avail these opportunities and like I said before we’re going to continue to control on our destiny regardless of the environment and this is going to allow us to continue to do that. We’ll get real specific on this in the fourth quarter, when we give out the detail in the call but I’d also add here to note that this is not been included in the guidance that we mentioned in the press release form what we’re talking about today but of course we’ll give you that details in the fourth quarter call. Finally on capital deployment, we’ve increased capital spending this year all around enabling organic growth and driving productivity and year-to-date CapEx is up 46% to $34 million so it’s up $11 million versus last year year-to-date and that’s all about how do we drive profitable growth in our businesses. We also earlier in the year increased in our dividend 22% to $0.28 per share and we’re going to keep in that 30% ratio that we talked about consistently. Finally, if you look at share repurchases we’ve continue to buy shares we’re going to end up of about 2% annual reduction this year and the quarter we bought 831,000 shares but I’ll note that as a market weakens, we had a well-planned 10b5-1 in place that accelerated repurchases as the market soften so I think we tend to buy few more shares here in the quarter because of that. Lastly, I’ll talk about the M&A market, year-to-date not much has changed since we talked a quarter ago. It’s still a seller’s market. Valuations remain high even though the public markets have corrected, you certainly have not seen that in the near term in the private markets and so again it really slows seller’s market and we’ve got at any one time we’ve got 4 to 6 opportunities that are in the diligence space and when we talked a quarter ago we had two that we had pretty darn close to the finish line and at the last minute I’d say valuations really ran and we decided to opt out of both of those because they really fell out of our parameters for sensible capital deployment. We’re going to remain very disciplined and we’re committed to building through acquisitions as well as organically but it’s got to fit strategically and it’s got to fit financially. Alright, with that let’s move on to results for the quarter among slide 4. As I mentioned 4, organic sales were up 7% in the quarter that total sales were up 9% and we had increases across all segments. Orders were down 5% and in total 6% organically to 507 million but if you take out the dispensing order in the large material process order that we had in this quarter, orders were flat. Operating margins were 20.8% up a 100 basis points year-over-year and the improvements was really driven by outstanding performance in health and science and it diversified. And I just got to give credit to the teams across the board continuing to drive excellent profitable growth in the business. Free cash flow is $92 million it was down from last year but we still delivered a 130% of net income and there were two things that really affected cash from quarter one was CapEx as I mentioned before being up 46% year-to-date and also with the accelerating volumes we bundled to more working capital but overall still a great job on cash flow. And finally as I mentioned before EPS was $0.88 it was up 13% from last year. Alright, I’m going to turn to the segment discussions among slide 5, and we’ll start with the fluid metering. Third quarter, we had a 1% decrease in orders and that decrease was really attributed to what we’re seeing in the Ag OEM side with Banjo and little bit here of the non-U.S. energy stuff that I mentioned before. Organic sales were up 4% in the quarter, Op margin was up 10 basis points to 24.5% but I will mention that we’ve $800,000 in inventory step up with the Aegis in the quarter and we would have been up another 40 basis points happened and also we would have been in the low 30s entering to flow through if you don’t include the inventory step up with Aegis. Sales across FMT were up in all platforms except for Ag and let me just touch on the platforms here for a second. Water has continued to have just a really good year, good story to whole year, municipal spending up slightly but the better story is that we continue to drive growth through new products and targeted share gains and it’s really allowed us to outpace the market and Florian and his team have just done an outstanding job the whole year. Quote activity remains relatively strong and we’re excited as we look at the opportunities going forward. Energy I’ve already talked a bunch about what’s happen in some of the project side, again we continue to have strength in North America. It has been offset by what we’ve seen in Europe and the Middle East and we’re going to have some volatility as I mentioned before and we’re okay with that because we like our position in overall in the energy business. In terms of chemical food process it’s followed some of the trends that I mentioned before, but some of that’s been offset by really outstanding execution and new product development at Viking. Our North American distribution business is up and they’ve had some great new products that hit the market recently that have really surprise to the upside. Finally, I’ve already talked about what’s going on with ag, but remember that when we talk about Banjo only a third of that business is tied to the OEM business and the aftermarket remain solid and the industrial actually remains very, very good. So we got a good backlog going into the fourth quarter and we segmented that business more and more, so as we look at 2015 and we still think we can have a pretty decent year there. All right, let me go on to health and science I’m on page six. In the third quarter orders were down 2% and that was entirely due to that the MPT order that I mentioned from year ago from China organic sales were actually up 5% in the quarter and we expanded margins 150 basis points so really nice job. Scientific Fluidics, I’ve already touched on this a little bit but the trends follow the overall equipment sales trends, there is some hangover from inventory in the channel some big new product launches that were early in the year. But again as I mentioned our share is very much intact and we’ve had nice solid start to the fourth quarter. Optics and photonics has remained stable in the quarter we’ve had outstanding profitability improvement really from productivity and favorable product mix in the platform. Material process technology I’ve talked about this a bunch already. We did have the tough comp here in the quarter. We had great sales growth really from our Asian industrial and pharmaceutical businesses, terrific leverage as we got in the sales out the door and just remember that this is the lumpiest business within health and science. We will kind of see that from time-to-time, but we see real nice order stability and sale stability through the balance of the year. The industrial-facing businesses, the core distribution businesses in North America, Western Europe and China have all been solid and these guys have just done a terrific job of segmenting businesses, having new products in place and having great plans for profitable share growth. All right, I’m on our final segment on diversified that’s a slide seven. Orders were down 20% really all of it due to the dispensing order from last year. This segment is our lumpiest segment dispensing fire and rescue all rely on projects. I will say however that the underlying organics that they’re doing are really terrific. If you look across those businesses the organic sales growth and order growth that we’ve seen has been excellent and that’s what really turned into great sales growth here in the third quarter so it’s a flip side of the order equation. We had 18% up in the segment. We had really outstanding performance by BAND-IT; strong conversion in our fire and suppression business with the trailers being shift, so really outstanding performance on a top-line and even more impressive on the bottom line we had 420 basis points of margin improvement from leverage and from great productivity across the segment. Really if you look at sales and profit there up year-over-year and every business then diversified BAND-IT has just been a great story all year long, each market and geography is up and they just continue to have outstanding execution and leadership in the markets. Dispensing has continued to execute and improve productivity. If you take out that one large order that we shift here we’ve had good growth throughout Western Europe and North America and additionally X-SMART, that’s just been a terrific story in Western Europe and emerging markets that’s been a great new product for us here for some time. On the fire suppression side team has done a very nice job executing on orders to get those fire trailers out the door and we expect that the core business in North America and China is going to continue to be flat the markets are but we think we’ll have the opportunity to continue to take some share and grow those businesses. And finally on rescue I mentioned before that the Asian municipal markets have wait on this a little bit but we continue to have really outstanding results in North America the new product introductions and we continue to be high on the rescue business. Okay. Let’s flip to slide eight and we’ll talk about guidance for the quarter and for the full year. And again just remember that the guidance here it doesn’t include the impact from the cost initiatives that I talked about earlier. In Q4, we expect EPS to be $0.85 to $0.88 operating margin around 20% and a tax rate above 28.5%, this assumes the U.S. Government improves the R&D tax credit by December 31st. We also think we’re going to have 2% top line headwind from that facts and that’s can translate into about $0.02 a share loss from our earlier expectations that we talked about a quarter ago. For the full year we’re raising the low end of our guidance by $0.02, we now expect EPS to be $3.52 to $3.55 and organic growth to be 5% to 6% for the full year. Full year operating margin is going to exceed 20% and just some final modeling if you guys to think about, full year tax rate is going to be around 29%, CapEx should be 48 million to 52 million and we think free cash flow will be about a 120% of net income. As always we exclude from this any impact from acquisitions or cost charges with any future acquisitions and again this also the impact of fourth quarter cost-out initiatives. So with that, let me stop here and Diego I’ll turn it over to you and we can open it up for questions. 
Operator: Thank you. At this time we’ll conduct our question-and-answer session. (Operator Instructions) Our first question comes from Charley Brady with BMO Capital Markets, please state your question.
Charley Brady - BMO Capital Markets: Just a couple of questions on the orders. And I jumped on late, so I apologize if you covered this. On FMT, did you give the orders organically ex-acquisitions?
Andy Silvernail: Yes, we did, we have that in their hold on a second Charley so let me make sure I actually speak about this correctly. We said that overall FMT orders were down 1% organically and that was really entirely due to the OEM business with the in Ag and we also have some non-U.S. energy stuff that got pushed out.
Charley Brady - BMO Capital Markets: Okay. I guess I was -- without the acquisition, it was made in Q2. 
Andy Silvernail : Yes, organically, when we say organic we’re excluding that.
Charley Brady - BMO Capital Markets: Okay. I just wanted to make sure I was clarified on that. And what's the -- on FMT, excluding that large dispensing order last year, what would have orders been up or down? 
Andy Silvernail : You mean diversified?
Charley Brady - BMO Capital Markets: Yes.
Andy Silvernail : We have never kind of characterized it like that but you can kind of back into the math of it. So, it was down 20% in the quarter and in all of that was due to that large order that comp. 
Operator: Our next question comes from Nathan Jones with Stifel, please state your question.
Nathan Jones - Stifel Nicolaus: Just on FST for a minute, I mean I think we are through that diversified order now. None of that shipped in the third quarter, correct? 
Andy Silvernail : We don’t know what we’ve been past that since the early second quarter.
Nathan Jones - Stifel Nicolaus: So obviously a very strong performance for margins in that business now. Assuming we don't have another large diversified or dispensing order or something like that, are we at margins that are sustainable now? Or was there something in the mix or something else that drove them higher than you expected? 
Heath Mitts: Nathan, this is Heath. Always the segment the diversified segments always going to have some element of mix just relative with the four businesses that are in there. BAND-IT is performing very well and we obviously enjoy very healthy margins out of the BAND-IT platform. So, I wouldn’t tell you the model of 26 let’s say somewhere in that 24 to 24ish range is probably a good modeling but understand that it can swing a couple of hundred basis points in either side of that given mix in the given quarter.
Nathan Jones - Stifel Nicolaus: Okay. So we shouldn't expect it to stay up at 26?
Andy Silvernail : No.
Nathan Jones - Stifel Nicolaus: -- some quarters it might be.
Andy Silvernail : -- internally model it but again it’s going to swing on project activity and it’s going to swing on mix within that business.
Nathan Jones - Stifel Nicolaus: Okay, that's cool. 24% is more like a baseline number there. Obviously, invested quite a bit of money in CapEx this year relative to what you usually spend. It's still not that high even at these levels. When you are looking forward into 2015, are there still opportunities to deploy CapEx to drive growth in 2015? Have you exhausted those? Will they be less next year? 
Andy Silvernail: We actually think that it’s going to continue to ramp up. So part of what you’re seeing in the cost out that we’re doing here in the fourth quarter it’s really a combination of cost reduction and pretty aggressive reinvestment and allows if it’s come down to the segmentation we’ve been doing here for a couple of years just really aggressively segmenting our markets and our businesses so that understand more deeply where some of the these profit pools are and a great example of that is Viking. So, in this quarter alone they’ve had a handful of new products that come out of segmentation that we’ve funded really aggressively and they’re winning and actually just yesterday we received a pretty good size of orders at Viking for those new products that launched and so we’re pretty excited about that so we think there is more and as we’re challenging the teams more deeply that to find more organic opportunities we’re finding them to be more aggressive in terms of asking for money and as I said in the past, we’ll fund organic stuff all day along as aggressively as we can.
Nathan Jones - Stifel Nicolaus: So should we expect a higher CapEx number next year? 
Andy Silvernail : Nathan, I think a fair number just to model with is still around 2% of revenue. This year we’re going to be attend more than that in prior years we’ve been just under 2% but I still think 2% plus or minus $5 million is probably a good number so, yes I do think it ramps up to Andy’s point next year but we’re not talking about doubling going forward -- going from 45 to 90 we’re talking about going moderately higher and just and these are not made up just as you know as we talked about and as you can imagine given our decentralize nature these are not made up of any one or two items that are driving this. These are series of opportunities across the entire IDEX portfolio.
Nathan Jones - Stifel Nicolaus: Okay. But we should consider -- we should think about 2% of revenue as being your CapEx number for the foreseeable future? 
Andy Silvernail : Yes, of course plus or minus here.
Nathan Jones - Stifel Nicolaus: Okay, cool. You talked about some push outs of projects in Middle East and Europe. What’s your sense for the possibility that those turns from delays into cancellations? 
Andy Silvernail : Honestly I’m not sure. In our forecast this year and the next year we have it at zero and so we don’t bet on that kind of stuff so we’ve got it there we know that they’re out there but in particular if you look at what’s going on with the SAMPI stuff, it’s going right into the Middle East and we’ve been awarded the business sitting they’re shooting at each other. So, I don’t expect that’s going to happen anytime soon. The chemical stuff I’m not as concerned about that’s much more what I think is a push out and plus that’s be it made up for in speed what’s going on in the U.S. The energy stuff I want to put a full zero on, for the foreseeable future into the Middle East and then the chemical stuff I do think is a push and that does happen.
Nathan Jones - Stifel Nicolaus: Well, I have always known you to plan for the worst, Andy, so on the inventory step-up charges, are they complete now? 
Andrew Silvernail : Yes, it was 800,000 this quarter and 500,000 last quarter that’s done so you should see a take up there improvement for FMT. 
Operator: Our next question comes from Allison Poliniak with Wells Fargo. Please state the question.
Allison Poliniak - Wells Fargo: Can we just going back to energy again, North America obviously concerns crudes and somewhat collapse, obviously, we are seeing it in the energy there, concerns about investments in the U.S. are you guys seeing that, are people talking about that yet? 
Andy Silvernail : No, just remember where we play principally right, we’re playing in the midstream so we’re not playing for the most part, where holes are being putting around. So we’re much more affected by the production equation than we are by the hole in the ground equation. So we haven’t seen that yet, I suspect that I don’t think that’s going to be a material impact to our business kind of one way or the other, for the most parts just because where we sit today I do think it’s likely to have some impact on acquisition valuations that are out there and that might actually open up some doors just from opportunities. 
Allison Poliniak - Wells Fargo: Okay, great. And I guess that leads me into my next question. You know, you talked about maybe multiples compressing a little bit on the energy. But multiples have been here -- we've been at this level -- it seems like you've been at this high level for quite a number of quarters here. 
Andy Silvernail : Yes.
Allison Poliniak - Wells Fargo: I mean, is there -- I mean, what’s your thought I mean, do we need to change criteria here if this is a sustained level or are you just expecting that at some point this will kind of come back to you guys? 
Andy Silvernail : The way I look at it is we first start Allison, with saying, does this matter to us strategically? And once we answer that question we’ve historically said 12% to 15% ROIC cash-on-cash ROIC, there are some businesses that we would buy that would be lower than that in terms of hurdle to be candid with you. There are some things that we would buy that would be kind of in the 10ish percent range because they matter to us and we’re rolling distraction and obviously the spread of capital is pretty attractive. So there are few things out there that we would do that for. But for the most part I really think that we got to remain disciplined. We’ve all seen this movie many, many times. And it eventually, it does tip over and even though we saw in the public markets here in the last month or two months that has availed some opportunities in terms of capital deployment that weren’t as good at that period of time. So I think we got to be patient we’ve got a great balance sheet, outstanding cash flow and we’re going to keep disciplined here.
Operator: Our next question comes from Paul Knight with Janney Capital. Please state your question.
Paul Knight - Janney Capital : If I look at the bookings growth on the health and science side or the order of the 2% decrease, it seems to go counter to kind of a low-single digit revenue growth of your customers. Can you talk to that spread? 
Andrew Silvernail: Yes, couple of things, first and foremost we’re tied to the equipment side not to the consumable piece and that has been the piece that has been outperforming lately has been the consumable piece of businesses. And also we don’t perfectly match in terms of quarter-by-quarter we bought because of how new product shift, how inventory moves in the system but certainly within two or three quarters you’ll see a pretty good correlation. So I’m not particularly concerned about what we’re seeing in the marketplace right now in terms of a gap between us and our major customers.
Paul Knight - Janney Capital : Do you think that China is improving or kind of the same? 
Andrew Silvernail: It’s kind of the same. I think what’s been talked about in the press now is more accurate to what has been happening here for some time. So I think the new cycle has caught up with reality. I will say that I don’t think it is deteriorating further I think that’s important because if you’d asked me that question this time last year even into the first quarter I think we’d have said that the growth rates had deteriorated significantly. So I think we’re kind of in the relatively steady state but also realizing steady state in China is a lot of volatility. 
Operator: Our next question comes from Scott Graham with Jefferies. Please state your question.
Scott Graham - Jefferies : So I'm looking at the orders across the businesses, and I know, Andy, you mentioned at the top that you saw August and September softer, and then October better, and which does explain some things. You know one of the things I think we are trying to gauge here is the impact of the headlines on order patterns; you guys are particularly short cycle with your product sales. Do you think that that was a reaction to what some of the negative headlines that have come across over the last couple of months? And then maybe October picked back up again because it needed to, because they had under-ordered? How are you looking at that?
Andy Silvernail : I think Scott, I think that’s partially correct I think number one, I think we should recognize that Europe in particular and the Middle East in particular, they actually that the business is softened because of what’s going on in those regions right in terms of the economic growth and also some of the conflict in the region. So I think that’s very much real I think that got exacerbated some of the new cycle and some people pulling back on those things and probably what we’re seeing a little bit October is a rebound from that. So October for us and the order book has been pretty solid and so it’s encouraging and I don’t think that what we’re seeing in October is necessarily sustainable I think there is some snap back.
Scott Graham - Jefferies: Right. But since you are short cycle, that at least gives you, call it, the first three weeks of the month of the quarter that at least gives you some confidence on your fourth-quarter organic sales guide, yes? 
Andy Silvernail : Yes, if you remember right, we go into any quarter and we’ve got about plus or minus we’ve got half of our business booked going into a quarter. So, we’ve got a book in turn the other half and so generally if it’s the first 4 to 6 weeks of our quarter are strong we are in good shape.
Scott Graham - Jefferies: Understood. I want to maybe just, with my follow-up question, just go back to a prior question about M&A. 
Andy Silvernail : Sure.
Scott Graham - Jefferies: And you have a lot of directions to go here. I mean, obviously, I'm sure nothing has changed; FMT and SHT are still the main areas of focus. Here's a question I just maybe want to ask you, I don't know if you can answer it. But if you say that, in the second quarter, you had two situations where you were at the finish line but then needed to walk, but now that you have four to six, are those four to six or any of them or all of them as close to the altar as the two? Or further away? 
Andy Silvernail : No, I wouldn’t say they’re necessarily as close the differences is both two that we walked away from were auctions. And so you can live with that volatility, right? You eat the cost of the diligence and then at the end of the day if someone decides to write a big foolish check at their business and so that’s it -- there is not much you can do about that one. So, what we’re seeing right now is we do have some more preparatory stuff right now and I feel good about but also couple of things that we’re looking at are in Europe and as you know the diligence cycle is it’s a little bit longer and if you get anywhere close to the holidays being pushed into next year that’s just reality. So, not quite as close but a little bit better in terms of profile not being auctions.
Operator: Our next question comes from Mark Douglass with Longbow Research, please state your question.
Mark Douglass - Longbow Research: Andy, can you discuss IOP in the quarter and what the outlook is there? 
Andrew Silvernail: Yes, so orders were basically flat year-over-year not concerning for us great profitability improvement as you remember we had a really strong order quarter last quarter in IOP so feel good about that. Some of the end markets Mark aren’t quite as robust as I think maybe we thought they would be we kind of thought that some of the semi business would even be stronger than spend. So it’s not quite as strong as we thought maybe going into this I think the fourth quarter I think we’re in pretty decent shape in total and just generally that the overall profit improvement there has been great. I think we’ve said this before in the past but we’re now into the 20s in terms of EBITDA margin in the platform and it’s performing like we hope it would.
Mark Douglass - Longbow Research: Okay. So, semis is still --?
Andrew Silvernail: It’s still soft, I don’t know what you thought but we thought it would be stronger here at this time this year and it kind of softened up.
Mark Douglass - Longbow Research: I thought it would be stronger for multiple quarters. 
Andrew Silvernail: Yes, yes.
Mark Douglass - Longbow Research: It keeps getting pushed out kind of like the energy stuff.
Andrew Silvernail: Yup.
Mark Douglass - Longbow Research: Speaking of energy, what is your exposure -- you talk about North America is good, but with the petrochem build out expected in 2015 and beyond in North America --. 
Andrew Silvernail: Yes.
Mark Douglass - Longbow Research: -- how does IDEX benefit, or will you benefit on the petrochem side? 
Andrew Silvernail: Yes, so we actually capture that in our chemical food process platform more the most part not totally but for the most part and we feel really good about that so we’ve done a handful of things first and foremost with actually if we put a bunch more resources down into that region from our long standing businesses. We also the acquisition of Aegis was important for us. We’re putting a new facility in the Huston area for Aegis. As you know Aegis is out of Baton Rouge and we’re actually putting a new facility in Huston because that’s a high touch business very very high touch business. And Aegis actually allows us to bring our Richter business closer to the U.S. market one of the things that we struggled within the past, it was not really having the right kind of channel into the U.S. for our Richter pumps and valves and we’ve got that now. So and also in our Corken business touches it too. So we feel pretty good about that exposure and we think 2015 is going to be good year.
Mark Douglass - Longbow Research: Would you say it’s still less than 5% of sales, though? Or --? 
Andy Silvernail : In total the petrochem fees less than 5% sale fees.
Heath Mitts: Right, it’s more than that yes.
Andy Silvernail : I have to going back and exactly quantify it, because you’ve got to kind of break apart some different businesses. But you could probably say that’s 5 to 10 definitely.
Heath Mitts : Yes, it’s in the range and it touches multiple areas of IDEX that’s the only reason we have to go and look at in all the different spots in IDEX that are impacting by that Mark.
Andy Silvernail : I mean you got Viking itself which is 10% of sales and good chunk of Viking goes there you got a big piece of Richter and all of Aegis right -- 
Heath Mitts : Element of Seals -- 
Andy Silvernail : Yes, element, so you got pieces of the company that touch in so many ways.
Mark Douglass - Longbow Research: Right. And then finally, on the cost-outs in 4Q, are you planning on excluding those? Is that why you’re not inputting that in -- 
Andy Silvernail : No, we’ll take it in our P&L it’s just that we didn’t have it nail down exactly because there are going to be some moving parts here before it’s all finalized. But we’ll actually take it in the P&L.
Mark Douglass - Longbow Research: Okay, but it’s not in guidance at this point?
Andy Silvernail : No, it’s not in guidance at this point, no.
Operator: (Operator Instruction) Our next question comes from Kevin Maczka with BB&T Capital Markets. 
Kevin Maczka - BB&T Capital Markets: Can we go back to the 20% margin guidance for Q4? It seems like you’ve been guiding that level all year, and to your credit, exceeding it. I know you talked about FSD, and maybe there is some mix shift. We shouldn’t necessarily think that that margin continues at that high level. But is there anything else going on in terms of mix or currency or the segments that you can point to as to why that would come down like that sequentially? 
Andy Silvernail : Yes, there are really two things. So one is the very, very strong performance in FSD if you think about that sequentially that’s going to be a big impact. But also to be fair the MPT had really strong quarter with health and science and that was a nice profitability in terms of incremental profitability that on a sequential basis we don’t see in fourth quarter. So that 20% I think is a pretty good number.
Kevin Maczka - BB&T Capital Markets: Okay. And then, just in terms of currency, on slide 8, you mentioned the 2% FX headwind. I’m assuming that’s a revenue headwind, can you bring that down to the bottom line and comment on what that means at EPS? And then, as we look forward and think about 2015, assuming rates kind of stay where they are, can you just quantify at all or give some goal posts on what that might mean to 2015? 
Heath Mitts: Kevin this is Heath. It really is just the currency translation but that the flow through and in the quarter we’re expecting somewhere around 9 million at current rates we don’t try to predict what the rates will be throughout the rest of the quarter. But at current rates we’re anticipating around $9 million headwind and so it’s just really the statutory flow through that 9 million impacts are earnings by a couple of cents. But it’s really just the translation not so much that we have some type of hedge that’s out of place.
Kevin Maczka - BB&T Capital Markets: How about next year?
Heath Mitts : Next year we haven’t quantified it yet to be honest we’ll need some time to see where the fourth quarter settles in, but when we give our guidance for next year we’ll certainly come out with that.
Operator: Our next question comes from Matt Summerville with KeyBanc. Please state your question.
Matt Summerville - KeyBanc : Good morning. With respect to the margins in HST, I went back and looked they are at the best level they’ve been in three years plus I guess, this breakout, is it really related just solely to mix or is there something else sort of driving that and I guess what’s the right way to think about margins in this business going forward? 
Andy Silvernail : Yes, so Matt if you exclude the sequential improvement from material process and you look at the underlying other pieces that make that up, those are all still positive. So it’s a good story almost no matter what you’re talking about. And so we feel pretty good you’re seeing improvement and where is that coming from principally, it’s coming from the couple of places. We continue to see better overall profit execution at optics, that’s been a really good story. But also on the industrial side our gas business it’s in there and they have just done a great job over the last, really the last couple of years we are continuing to expand profitability. That’s a business that has just done -- really if you back five years you look at today that’s entirely different business than it was five years ago in terms of overall profit profile and growth rate. So those are the big pieces.
Matt Summerville - KeyBanc : And then is there any way you can quantify the magnitude of business that you’ve sort of zeroed out at this point related to the Mideast and energy, is it $2 million, is it $20 million? Can you at least triangulate on that a little bit? 
Andy Silvernail : It’s around $10 million. So if you actually looked at what got pushed into the second or third and we’re not going to kind of count it, it’s about a $10 million impact in the quarter.
Operator: Our next question comes from Joe Giordano with Cowen, please state your question.
Joe Giordano - Cowen: Hey, guys, thanks for taking my call. So I guess order of weakness, if we could talk about HST a bit on a sequential basis. You talked about it on a year-on-year versus the one order, but it's down a bit from where we've been over the last three quarters. So could you talk maybe more on a bit of a sequential? 
Andrew Silvernail: Are you talking about order rates, sales rates?
Joe Giordano - Cowen: Yes, order rates in HST.
Andrew Silvernail: It nothing that’s particularly meaningful Joe, when you look at that and you’ll have some swings here and there quarter-to-quarter it’s not that big a deal so that is not been in there that you look and you say it is a big yellow flag or red flag.
Joe Giordano - Cowen: Okay.
Heath Mitts: Joe, I’d jump in, this is Heath. There is a -- the element of the segment that is depend upon kind of daily book and bill is something along according to expectations which would be fine. It’s the noise and it comes generally from the project activity on a year-over-year basis.
Joe Giordano - Cowen: Okay. Okay. And then I guess more of an esoteric question, I guess. But how should we think -- how would you gauge and characterize the level of your conservatism when you are giving your guidance now? Since five quarters in a row, not just meeting the midpoint but meeting the -- beating the top end. And obviously, a credit to you guys, that would be better if more companies did that. But how would you gauge, like, the level of conservatism inherent in your guidance now, as it was maybe late last year or something like that? 
Andy Silvernail : Well, first and foremost Heath can’t spell esoteric. So we -- I don’t know, I try to look at that and we try to guide in a way that is he is responsible and we feel that we have real confidence in delivering on that and by the way it’s also how we manage the business so one of the things that I said time to time again is we’re a company that can respond very very fast with an uptick in business because our direct labors is single digits and so we can move quickly on the upside on the downside as you think about how high our contribution margins are, that’s a painful equation so, as you look at what we’re going to do here in the fourth quarter and we’ve done a lot of hard work here to prepare our organization to be able to do that to get in better and better fighting shape. But another piece of that is that it continues to lower that breakeven point to the company and so that’s how we manage the business and so we’re not trying to be overly conservative at the same time, the bottom line is we’re just trying to be responsible.
Joe Giordano - Cowen: Okay. And just last from me. Have you talked about at all where -- like which businesses the cost-out might be? And then last, what are you seeing in European Union right now? You've mentioned Asia; you mentioned North America. 
Andy Silvernail : So, this is not some big companywide thing that we’re doing, we haven’t might picked some random number is really been excellent organization and segmentation of businesses have opened up opportunities across the company. So we’re able to do this in kind of rifle shots and it’s a kind of thing that in any one place you wouldn’t really notice but when it adds all up it becomes meaningful. So, it really is across the company and by the way that’s on the cost side and that’s also on the investment side. So we’re moving a whole bunch of resources from some areas to other areas all around growth and productivity and so what you seen is we kind of use the term cut and build and that’s how we think about it here. So, it’s pretty broad spread but it’s not any kind of massive swap anywhere. And pretty much all of that stuff would be done by the end of this month for the most part here and there. So, in terms of European municipal still weak, there is no two ways about it, you seen a couple of projects that have come out of the wood works in recent months specifically out of the UK but for the most part it’s still pretty soft.
Operator: Ladies and gentlemen there are no further questions at this time. I’ll turn the conference back to management for closing remarks. Thank you.
Andy Silvernail : Thanks, Diego. Well, thank you very much for joining us here today obviously we’re proud of the results we have and most importantly really congratulations to the team in the field at IDEX who has continue to execute time and time again. So, we appreciate your support and we look forward to talking to you at the fourth quarter call. Take care 
Operator: 